Operator: Good morning, everyone, and welcome to BCV's 2025 Full Year Results Call. My name is Lydia, and I will be your operator today. [Operator Instructions] I'll now hand you over to Pascal Kiener, CEO, to begin. Please go ahead.
Pascal Kiener: Thank you very much. Good afternoon, everybody. Let me jump directly on Page 4, where I would like to highlight the key messages or the key points of our 2025 result. As you might see, we have an ongoing growth in -- across all business lines. Our revenue are stable. Actually, this is, I think, minus 0.4%. I think the main point is to highlight the well-diversified business model of BCV. You will see when Thomas presents the financial result that we have a reduction in the interest rate revenues, more or less compensated by an increase in the commission business. I think this is the main point of our -- the strong point of our business model. A solid net profit of CHF 430 million, which is 2% less than last year. I remember that 2024, '23, were a very good year. 2024 was the second best result in BCV story. So basically minus 2% given the environment of interest rate, and I think this is a strong result. And finally, we're going to propose a dividend of CHF 4.40, unchanged from last year. Maybe I would direct lead to Page 6. So you see in the different business lines or volume categories being mortgage, other loans, deposit or AUM, you see an increase between 2% to 5%, 6% depending on the client segment. Basically here, everything is going quite well. In terms of ratings, the financial ratings being S&P or Moody's are totally unchanged and have been confirmed. In terms of ESG rating, we have some good news. CDP is not on the chart, because Carbon Disclosure Project, they have increased their the notation. And you see that we have quite high rating in terms of non-financial ratings. Very often, this is the second-highest rating in their categories or in their ranking. And if you compare with other cantonal banks, I think we are among the top. Now coming back to business. Retail banking, steady increase being deposit or mortgage loans, so quite a good performance. Here, it is clear there is one competition -- fewer competition since Credit Suisse is no longer in business. UBS remains a very tough competitor. But nevertheless, we could take advantage of this measure by getting some increase in this business, mortgage loan 5%, customer deposit 4%. And you see that in the revenues and operating profit. Here, there are a couple of points -- I mean the volume growth plays a role. Then quite a lot of transaction of those retail customer being ForEx transaction or in fact, transaction in Switzerland. And finally, as you know, I mean, in a universal bank like BCV, you have transfer pricing between the corporate center and the division, and it is clear that the transfer price have increased for the Retail Banking division. Therefore, they have better revenues and a better operating profit. If you have specific question on that, Thomas will answer those questions later. In the corporate banking business, basically here, I mean, it's almost nonsense to discuss the overall figure without going into the specific business lines. So SME basically up in terms of loan, and in terms of deposits slightly down, but this is the year-end figure. If we take the average over the year, this is more or less stable. One point I would like to make in those COVID-19 bridge loans, 90% have been paid off. Basically, 81% have been reimbursed by the customer and 9% have been reimbursed by the confederation. As you know, maybe for those of you who are not aware -- or are not aware of those bridge loans, there is no risk for the Swiss banks. I mean the risk is there by the confederation that was clear from the beginning. And when we set-up the program with the Swiss federal authorities and a couple of banks, we sold, we would have something like 20% default, 20% loss actually. And now, we are at 90% reimbursed, 81% by the customer, 9% by the confederation. So rest is 10%. Let's assume we have half-half, we have another 5% reimbursed and 5% by the confederation that would mean overall loss in this scheme of 15%, which is below what I would expect and showed also that the COVID-19 program was really a very good program for the Swiss economy. Anyway, for us, there is no risk. I just wanted to mention that if you're interested, which shows nevertheless that the Swiss economy is doing quite well. I was expecting more write-off out of those COVID-19 bridge loans. Real estate firms, mortgage are up. So nothing to mention here. Large corporate is always kind of volatility. It depends on the price that we are making. So here, we don't look at volumes, we indicate volume, but this is more a kind of profit business, so we try to optimize profit and profitability, and not the volumes here. This is very clear. Trade finance still operating at a very low level, I would say, given the geopolitical situation. And nevertheless, slightly up 8%, but this is really small. So we will carry on this way until, I mean, some geopolitical problems are solved, I don't know when. I hope soon, but it might take time. So trade finance will carry on more or less at this level, plus/minus 10% around the current situation. And the economy in Switzerland and Vaud is doing still well. Although we have a slight increase in provision for SMEs, Overall, this is still low and the cases of default we have nothing to do with U.S. tariffs or economy doing not well or the strength of the Swiss francs, those are isolated cases for different reasons. But nevertheless, the level remained very low if you compare with the expected loss, which is a bit higher. Okay. Wealth Management, again, here, you have different business here. You have the asset management part of the mother company of BCV. You have private banking part of BCV and you have also our small subsidiaries, Piguet Galland. So a typical small private banks in Lausanne and in Geneva, actually in the French part of Switzerland. Here, everything is up, which is quite normal given the current situation of the financial markets. And trading, very good year, up. This is the trading room basically. Two main drivers. First of all, the ForEx business, where we have limited risk as it's a transaction induced trading. And the second pillar is structured products, which are back-to-back. And here, given the very good rating of BCV, we had a strong expansion in the French part, but also in the German part of Switzerland. I think there are not a lot of companies that can have a AA of offering the kind of structured product we are offering to the markets. Okay, now for the, let's say, financial result, I hand over to my CFO, Thomas.
Thomas Paulsen: Thank you, Pascal. Hello, everybody. I believe very brief, just to point out points, which you might be your questions. I'm on Page 13. Well, while the key numbers are here, as you know them by them on the extraordinary income, nothing special to signal. On Page 14. Well, let's -- you see again here the point of the composition of our bank revenue and the lower part of the chart, you see that our NII was basically before loan, impairments was basically down CHF 26 million. Here, you only have the volume and interest rate effects. And then we have slight variations in loan impairment charges, which remain very low, which means that NII is down by minus CHF 28 million. At the higher part of the chart, you can see that commissions almost have compensated this by CHF 25 million as mentioned already by Pascal Kiener. Let we come to this chart, which is especially prepared for you guys. On Page 15, we always give you more in-depth understanding with regard to interest income. What is really interest income from the activity, and what is rather balance sheet management. Here, you see that the pure NII before balance sheet management is going down from CHF 627 million to CHF 596 million, is down minus CHF 31 million, which is probably already answering one of your questions. So here you see the full impact from the business side perspective. Then you know that what we do is we do balance sheet management by taking typically in U.S. dollars, which create a charge on interest and doing FX swaps, which result into trading income. So the charges for this on the NII were by minus CHF 70 million, and the income generated by this was CHF 89 million on the trading side. So net CHF 19 million. So we can see 2 elements here, which are important to see that, first of all, in year-to-year comparison, the balance sheet management charge was lower, right? And explain the evolution to CHF 526 million. And on the other hand side, you see also that the income from this was lower, which actually points out another point. From an accounting perspective, trading income was CHF 195 million, stable. But from a business perspective, you can see that trading income is higher , CHF 106 million against CHF 99 million, okay? Of course, I will be there for your questions, if this was too complicated. On Page 16, total operational charges with the 3 components are almost stable. Basically, you see a shift from other operating costs into personnel costs, because this is basically the last movement, which appears here with regard to integrating the resources for IT hosting, because first quarter 2024, they were still paid outside. And over 2025, they were fully part of BCV employees. So that is why personnel cost -- main reason why personnel costs are slightly up. And other operating costs are slightly lower. I just focus on this key element, obviously, there are a lot of movements going on. Depreciation and amortization is stable. With regard to the headcount, nothing special to signal. It's more or less stable at the parent company, and its subsidiaries. With regard to total assets, obviously, the business developments of mortgage loans and advanced customers have already been explained by Pascal Kiener. I would like to focus on the elements that financial investments, which are purely there for liquidity reserve in the sense of HQLA, high quality liquid assets are up by CHF 1.3 billion, which is part of our financial strategy. On Page 19, you see that the customer deposits are up by 0.6% and bonds and mortgage bonds are up by 1.7 million, which is basically coming from our Pfandbriefe Centrale mortgage capital loans, which are first mutualized company of the cantonal banks and our own bond issues. With regard to current discussions in newspapers, I really want to point out one thing, which has also been made by Martin Schlegel of the Swiss National Bank. I mean we had no issue in funding at all over this period. And maybe it's also a little more further away from Switzerland, you must know that, for example, Pfandbriefe Centrale is this institute of Swiss Pfandbriefe, which issues mortgage covered bonds did record levels of issuing of CHF 14 billion gross issuing over 2025. So I just want to make clear there is no funding issue, and I recommend you the lecture of the short paper, which Martin Schlegel of the SNB published yesterday or days ago, which makes us even more -- provides even more in-depth understanding of that point. Well, our shareholders' equity continues to rise, and is now almost at CHF 4 billion and -- logically it cross CHF 4 billion the next time we closed. Now on Page 20, where it has all been mentioned, right, that the new -- net new money was CHF 3.8 billion, and this nice market performance, CHF 6 billion, we are up by 8%. So the net new money came has reflected our business mix of individuals, SMEs, institutions and large corporates. With regard to CET1 on Page 21. Obviously, here, we -- as mentioned already quite -- for quite a while, it happened, right? Basel final had its positive impact even larger than we shared with you before of 1.4% or 100 basis points. And then obviously, there are business volumes development. So we are at this nice CET1 of 18%, which gives a lot of place for further development because we consider this as an excessive CET1 rate. The LCR, as you see, is cruising at comfortable levels, with the mix, I already mentioned before between HQLA and liquidity and SNB. On Page 23, the net stable funding ratio is also pretty much on the same level, as you can see on Page 23. So given this nice business development, but also given that we are in a situation where still a lot of macroeconomic geopolitical uncertainty, but we are also at a solid earning capacity, we will propose a stable dividend of CHF 4.40 to the AGM soon. So basically, with this, we are at the historical average of payout. But I really want you to understand that, I only want to maybe make a point here also with regards to your first comments as a result. First of all, when we announced for 5 years dividend interval, this has nothing of a plan or an objective, nothing at all. This is an interval where we are convinced that, first of all, we will stay above the lower border. Secondly, it gives some perspective of what potential we see without being completely in the sky. And certainly, we do a step-by-step, and once we've done dividend level, except a major structure of regulatory crisis, we will not go to a lower level. But there's nothing of an objective if we say CHF 430 million to CHF 470 million to be at CHF 470 million by the end of the horizon. We have never communicated like this. It's not the logic. Our history has shown that we were able to do this for more than 15 years. We went through a lot of unexpected crisis, be it the financial crisis, be it euro crisis, be it negative interest rates, be it COVID, be it the Ukranian war. So we have shown that we are highly resilient. And obviously, if things become very positive, we will be rather at the higher end of the interval, but that's all. Okay. Maybe we will have more questions for this, but I think it's important to remind you of that. Thank you very much.
Pascal Kiener: Good. Let me maybe just conclude very rapidly with 2 charts how we see the future going forward. I think that the fundamental of the Swiss economy are still strong. I know the Swiss franc is very strong. But on the other side, as can import goods cheaply or cheaper. And we have a production growth. So the internal demand is quite good, low employment rate. So I expect that to carry on the economy in Canton Vaud and Switzerland is quite resilient, quite strong. They have proven that during all past crisis that Thomas just mentioned, it's clear that the U.S. tariff and the strength of the Swiss franc is not something that we like. But nevertheless, I expect the Swiss and the Vaud economies doing correctly in the next 2 years, something like 1% growth. I don't expect more than 1.5%. I don't believe that, but I don't expect much below 1%. So probably maybe 0.8 that could not be excluded, but not below that. Those that means growth and not recession and not stagnation. One of the main business of BCV is the mortgage business and the real estate, you see the prices are going up every day, more or less, which is quite normal. I mean, low interest rates, but more than that is basically the ongoing growth of population being immigration of all basically more new kids than deaths of people. Anyway, so basically, with a 1.1% to 1.3% population growth every year, which is something like 9,000 people, which means a need for homes, 3,700, 4,000, let's say, flats or homes, and we don't build that much. So basically, I expect those prices to go up again. And I'm not saying this is very good because it's very, very high. But on the other hand, the economics, I mean, the fundamentals are just good. Those people need to sit somewhere. I don't expect immigration going backwards given the need for workforce in Switzerland and also some problems in terms of economics of our neighbors. So basically, we will carry on being very, very cautious in this business, where we target growth between 4% to 5%, but really focusing on quality. We could grow probably faster, but we don't want. We want to make sure that we have quality growth, and we will target those areas where there's a low vacancy rate, because this average of 0.9 basically, if you take the Canton Vaud, this is between 0.3 around Lausanne, maybe to 1.82% in some areas. Okay. I think that's it, and we are ready to take your questions. Thank you very much.
Operator: [Operator Instructions] We have our first question from Cajrati.
Ausano Cajrati Crivelli Mesmer Nobili: I have a question regarding the outlook. Why didn't you give any commentary on outlook or guidance or anything thereof?
Pascal Kiener: Because, I mean, look, if you know BCV, you see this is a very stable business model, and basically, I don't see the point -- I mean how can I give a very bad outlook? Does that make sense? How can I give a very rosy outlook that doesn't make sense as well? So we are in a situation -- in an ongoing situation in the last 5, 6 years. So I don't expect something special, neither very negative, neither very positive. I mean, we don't want to do it because then if there is a slight, let's say, deviation from the normal course, then we have to make maybe a profit warning being positive or being negative. And this is always huge discussion. And since the stability of the business -- BCV business model, if we were a high-tech company or a company with suddenly a launch of new product or whatever, I can understand that analysts require more or less a guidance. But for a stability business like BCV, very diversified, I don't think this is necessary for analysts in order to make a, let's say, a good provision. I hope that answers your question.
Ausano Cajrati Crivelli Mesmer Nobili: Yes. But in the past, you used to give some outlook?
Pascal Kiener: Yes. that's a good point. And we had problems. Once we were much better than we thought because we had some extraordinary items. And we had tremendous discussion with our legal team, whether we have to make a profit warning, a positive one. And you see no discussions for me, useless. And at the end of the day, we say we don't do it. We will not make a positive profit warning, but that's the main reason, because I don't expect -- I mean, if we had a very special event, then we would do something, but I don't expect any special event, and I expect BCV to carry on showing similar results. Now it depends then on the interest rate you see. Of course, if interest rate go up, then we will have better result. If they go down, probably that will reduce slightly, but up to a certain point, because now I mean we are at zero. This is, in a way, the worst situation for BCV I would prefer probably the SNB. Just from a BCV point of view, I'm not sure this is good for the environment. But from a business point -- from a BCV point of view, if the SNB would reduce or go into negative territories, that will be better for us. So basically, I mean, either way, it's in a way better.
Operator: We have our next question from Stefan Stalmann.
Stefan-Michael Stalmann: I hope, you can hear me well.
Pascal Kiener: Sure, very well.
Stefan-Michael Stalmann: Yes, I wanted to come back to the dividend decision. I hear you, Thomas. It's not a commitment to follow this 4.3 to 4.7 trajectory, but you did seem to behave differently last year. So last year, profits were down by more versus '23, and you still increased the dividend by at least 10, which seem to follow this trajectory to 4.7. And this year, profits are almost stable, minus 2% or so. And the dividend is flat and so on. I guess, it's fair to wonder whether you're sending some signal here in any way or whether this is -- how should we think about next year really -- and is 4.7 still a plausible outcome for '27?
Thomas Paulsen: Stefan, I like your question, because it gives me the opportunity to explain something further. 2023 was an extraordinary record result. And basically, when we -- we applied the same logic as we would do for an extraordinary bad result, right? We basically wanted to stay somewhere in the middle. That's why we did the CHF 430 million, whereas we were -- which was the CHF 370 million distribution, whereas the result was CHF 470 million being that we had CHF 100 million we kept, which is excessive from this regard what we did previously before that. So that's really the point. We had extraordinary net results. And basically, now we get back to something, which for the given environment is more typical. And we evolve it is CHF 4.40, right? That is a dynamic, which is really behind this move from -- going from CHF 380 million to CHF 430 million and not to -- we could have gotten to much higher to CHF 480 million, right, to CHF 470 million almost with that result. We didn't do it. And now we evolved with something which is this environment, which we look at it with some prudence, okay? I think that's really the point. Then there's a question forward looking for Pascal?
Pascal Kiener: Maybe, if I may add. I mean, look, we've been doing that for 17 years. I introduced that 2008, this distribution policy. At that time, that's quite new. Now you see some banks or some other companies doing something similar. I think this is totally normal for the business model we are in and the kind of economy we are in, which is not really growing by 10%, but rather by 1% to 3%. So the point. So I think we -- I hope that you give us the credibility after 17 years. Now we will never go back. I will never blow up the dividend, that must be clear. Unless, I don't know if somebody, I don't know in 6 months, FINMA, Swiss regulator, asked for twice as much equity that is another story, but I don't expect that. So I will never lower the dividend. That's first point. And we will always be between the 2, the floor and the ceiling we have set. Now going forward, it depends a bit on the interest rate. I mean, who knows what's going to happen to the interest rate? So we had some -- we were cautious in putting the CHF 430 million. We said we don't know. We think probably that there is slight increase in the long-term rates, and maybe depending on the results next year, we will increase. I mean, going forward, if you take a kind of a midterm, long term, I think our result will increase because probably the interest rate will come back to normal level, I mean, to a certain level. We will never decrease, and we will over time, increase. But we have those 2 numbers, the floor and the ceiling to say what is reasonable for the next 5 years. Now it's for the next 2 to 3 years or the next 2 years. Given the current situation, probably we will not be at CHF 470 million in 2 years. Now depending, why not, but probably not, but there is a good chance that -- I mean, the strategy of increasing steadily regularly the dividend is still the strategy, and we will carry on doing that for the next couple of years. I hope that answered the question, because, let's say, in a nutshell, we are cautious. There is no signal. We are not signaling that we changed the BCV, the dividend policy or that we just know that we reduce, no, or that was stable. It was really to being cautious.
Stefan-Michael Stalmann: And by the way, I wanted to apologize for only turning on my camera. Now I didn't have the full functionality of mic and camera during the first half of the call, but now I do. Could I maybe ask a related question? And I think it was you, Thomas, who said that 18% CET1 was excessive. Do you have any particular thoughts about how to bring it down to something less excessive? And where will that be?
Thomas Paulsen: Well, Stefan, you know us for quite a while, and we -- I mean, from a business point of view, we always said that this bank would be really from as an efficient machine, perfectly capitalized with something like 14%, 15%. And anything above that is excess capital. Or from a valuation perspective, you will basically say 14% to 15% is what I need from my operating value, and what above can add to it as an excessive value, right? That's the story. And over time, the whole story of our dividend policy had also the idea, but it didn't happen. So that's why we don't insist on it, that we, okay, we keep some capital to take into account, part of the risk-weighted assets growth, but not fully enough so that the CET1 has it should go down over time. Now as I have been taking this for 17 years, it never went down. I don't talk about it so much anymore. But we must also objectively consider that Basal 1, 2 -- rather 2 and 3 has been very positive for us. And the different moments along this time scale, we had uplifts by this, because as we came in as the kind of unwanted participants, they had put on us a very tough regime. And the first we went, they realized that we were really doing it very honestly, and so we have seen these opportunities to even lower our risk rates for that reason.
Pascal Kiener: So if you don't take into account those discontinuities. So those years where we had suddenly an increase in the ratio based on those, let's say, regulation changes. I mean you will see that the Tier 1 ratio goes down slightly because we -- as Thomas said, if we would keep it stable, then probably we would have a lower dividend. We would need to retain more equity, but that's not the point. I mean the point is to use this in a way excess capital to increase over time, the dividend and to decrease the Tier 1 ratio. And we don't expect yet new. I mean, new regulation from FINMA. I think Basel III final is implemented in Switzerland. And here, we had a tick-up, I'm fine, but we didn't expect exactly that. We expected some positive news, but not as positive -- or so positive as they are today, but I don't expect those kind of changes in the next 5 years. So roughly, probably given the growth in the credit business, so the risk-weighted assets, given the dividend policy of distribution, I expect this Tier 1 ratio to slightly reduced over time. I would like here to mention that I've been the CEO for now 17 years, CFO the previous 5 years. Since 2004-'05, we have, in a way, kind of excess capital. We will not use this capital to do bad things. So I don't expect any merger or acquisition just to use this capital. Capital will remain in the bank and will decrease slightly over time based on risk-weighted asset and distribution policy.
Stefan-Michael Stalmann: I don't know, can I maybe ask another one? Or should I step out and step in, again?
Pascal Kiener: Yes.
Stefan-Michael Stalmann: AI. Obviously, a topic everyone is very high on the agenda. And I was wondering if you could just talk a little bit about how you're looking at it, whether you already have initiatives ongoing, how big they are, what the results could be, whether that changes the competitive dynamics, anything that you find important.
Pascal Kiener: This is a huge question. We have time till 6:00. No, I mean, in a nutshell, Yes. No, I think this is something very important for the economy overall. I see AI as a game-changer, like in a way, Internet, but it's going to take time. I mean, this is one thing to play with ChatGPT at home and to ask for summary to have a couple of things. This is another thing to implement that in a bank with all risk assessment done with a 100% of reliability, et cetera, et cetera. And we have initiatives ongoing. Let me give you one example. I mean, I'll have a couple. For example, we have introduced an AI tool to generate leads for our customer relationship manager. So based on basically the situation of the customer, analyzing flows, analyzing the kind of product they have, the trajectory, et cetera. The system is able to suggest to the relationship manager, a couple of products that we could sell to that customer. I mean, a human can do exactly the same. The AI tool is not better, but it's much quicker, much quicker. So we get some productivity improved. But here, we're talking some percent of people. So you cannot really get rid of some people based on that. Another implementation, we have 5, 6 implementation tools. Another one is to prevent fraud. You know that in the -- in Switzerland, this is the same probably in other countries. You know that online payment. I mean this is incredible. Our people are naive, stupid and are being fraud. So here, we have implemented AI tool in order to, let's say, to better monitor the transaction of customers to try to get those wrong transactions or those fraud transactions, and to do that, let's say, at an acceptable cost because you could check every single transaction. But in payment, we have, I don't know, 30,000 to 40,000 payment by hour for each hour. So if you control all of them, that's impossible. So here, AI can help clearly. And I mean, that will carry on. Now what I see in the market, not only banks, I think, AI is a powerful tool. Now taking the benefit in terms of more revenues and, let's say, less cost is not easy, especially for established companies and established business model. Probably, it's easier to start a new company based on AI and then maybe you can get the benefit. That will come, but that will take some time, but we will be part of this game. In terms of competition, I don't think that we -- for the time being, play a significant role that will sometimes change a bit the relationship and on the customer and ourselves, think about investment. I think you are in the business of investment. So asking ChatGPT or I mean, asking a very good AI tool or asking a relationship manager for advice, who is best today, probably the man or the person, but in 5 years from now, I don't know. So probably expect, nevertheless, some productivity improvement due to AI in the mid- to long term, but not in the next 2 years.
Stefan-Michael Stalmann: It sounds like you don't expect this to drive any particular investment needs that you wouldn't have out of your ordinary IT budget.
Pascal Kiener: No.
Stefan-Michael Stalmann: Could I ask one final from my side? I have been, I mean, I have been looking at the loan-to-deposit ratio, if you like to turn it the other way around in your reporting. And you have already commented a little bit on some of the funding topics that have been around more recently, let's say. But even if I look at longer periods of time, 5, 6 years, your loan-to-deposit ratio has quite consistently trended up. And I was just wondering whether that's any concern to you at all, whether you mind, whether this is maybe just a bit of a random result of what happens in your corporate -- large corporate business in particular, between loan and deposit decisions? Or are there constraints where you say, I don't want to go above whatever 110 or 115 for particular reasons. And why do you think, by the way, that we have seen this move from 93 to 100, whatever, 10 or 7 over those 5, 6 years?
Pascal Kiener: Exactly I mean, it depends how you look at the ratio. We tend to look at the other way around, but I mean, it doesn't matter. No, no, no problem. But this is not a BCV trend. If you look at more or less all cantonal banks. So all, let's say, retail banks or universal banks, I mean, cantonal banks because UBS is something different anyway and private banks are also different. So if you look at cantonal banks or value or horizon, you see the same. And to be honest, I'm not sure I understand completely why. I mean, first of all, there is a strong demand for credit, being mortgage or be it commercial loan, this is clear. And the demand is even stronger after the UBS and Credit Suisse merger. So that's one point. But -- okay, that's one point. Second point, I think the retail customer, although let's say, mostly, let's say, the individual. I'm not talking about SME. I mean they are more, probably, this is an assumption, I'm not sure. There are more possibilities, opportunities to invest or to deposit their money. Okay, as I go, they would deposit in savings, and maybe they have some investment products. Today and in the crypto, there are so many opportunities in Switzerland, a broad -- so my guess is that part of the money is going to other, and investment channels, I'm not sure what I'm saying because we are trying to analyze that. But this is not a BCV trend. Now it's clear that following your question or the last part of your question, I mean, we have a kind of a limit. I don't want -- I mean, if I take my ratio, my way of looking at ratio, probably at 80%, I start being EBITDA and ticking and probably for you, it would be under 20 or under 15, I don't know if we should bid the math. It doesn't mean that we're not going to be above that or below that, depending on the way you look at the ratio, but we have to think about it, what it means. And that then we have to diversify, I don't want to be dependent on the financial market. This is a risk slightly, of course, but I would like to ask -- I don't know for example, 50% of my loans only covered by my deposit, that would be very dangerous. So we have to look at that. This is an ongoing trend for the last 5 years, you're right. But you see that is -- this is all retail bank, all cantonal banks have the same trend, more or less. And if you look at some of them, one or two are already at level, which I consider they should start thinking about what they do, whether they carry on like that, whether they try to get other opportunities for financing, whether they limit the growth in the credit business. We are not that. We have time, but this is something that we have to look at and to understand exactly what's going on. It's a very good question.
Thomas Paulsen: I still want to remind, I just was looking for the chart, adjusted the chart recently. I mean, before 2015, we saw quite low loan-to-deposit levels, right? So we are still marked by this period of excessive liquidity, also linked to the negative interest rates, but the point which was Pascal was just making is completely the same. I just want to remind us of historic data.
Operator: [Operator Instructions] We have no further questions at this time. So this concludes our call today. Thank you very much for joining us. You may now disconnect.
Pascal Kiener: Thank you very much.
Thomas Paulsen: Thank you. Bye-bye.